Operator: Greetings. Welcome to Altigen Technologies Third Quarter Fiscal Year 2024 Results Conference Call. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host Carolyn David, VP of Finance at Altigen Technologies. You may begin.
Carolyn David: Thanks, Paul. Good afternoon, everyone and welcome to Altigen Technologies earnings call for the third quarter fiscal 2024. Joining me on the call today is Jerry Fleming, President and Chief Executive Officer; Joe Hamblin, Chief Digital & Transformation Officer; and I'm Carolyn David, Vice President of Finance. Earlier today, we issued an earnings release reporting financial results for the period ended June 30, 2024. This release can be found on our IR website at www.altigen.com. We have also arranged a replay of this call which may be accessed by phone. This replay will be available approximately one hour after the call's completion and remain in effect for 90 days. This call can also be accessed from the Investor Relations section of our website. Before we begin our formal remarks, we need to remind everyone that today's call may contain forward-looking information regarding future events and future financial performance of the company. We wish to caution you that such statements are just predictions and actual results may differ materially due to certain risks and uncertainties that may pertain to our business. We refer you to the financial disclosures filed periodically by the company with the OTCQB over-the-counter market, specifically the company's audited annual report for the fiscal year ended September 30, 2023, as well as the Safe Harbor Statement in the press release the company issued today. These documents contain important risk factors that could cause actual results to differ materially from those contained in the company's projections or forward-looking statements. Altigen assumes no obligation to revise any forward-looking information contained in today's call. In addition, during today's call, we will also be referring to certain non-GAAP financial measures. These non-GAAP measures are not superior to or a replacement for the comparable GAAP measures. However, we believe these measures will help investors gain a more complete understanding of results. A reconciliation of GAAP to non-GAAP measures and additional disclosures regarding these measures are included in today's press release. With that, I'll now turn the call over to Jerry for opening remarks. Jerry?
Jerry Fleming: Thanks, Carolyn and good afternoon, everyone. Thank you for joining us for today's call. I'm pleased to share our third quarter fiscal results, as well as to provide you with an update on our business progress. After my overview, Joe Hamblin, our Chief Digital & Transformation Officer will expand upon our business execution strategies and operational excellence initiatives. Carolyn will then present an in-depth review of our third quarter financials. Earlier today, we announced our fiscal Q3 2024 revenue of $3.3 million, which was approximately 2% lower compared to our prior quarter, generally due to a decline in our legacy business. On a positive note, our third quarter operating income was $68,000 compared to a loss of $241,000 in our fiscal second quarter. The reduction of just over $300,000 in operating expenses is a direct result of our operational excellence initiatives. On our last call, we committed to achieving profitability by our fiscal 2024 year-end. I'm happy to report that we accomplished this objective one quarter earlier. I'll now turn to a discussion of our business transformation initiatives. First, revenues from our legacy on-premises PBX business declined quarter-over-quarter as expected, since we no longer provide enhancements to our on-premises PBX systems, as we have a new cloud-based unified communications platform. Many of these customers have therefore, chosen not to renew their software maintenance contracts. We've also had a few customers elect not to renew their contracts for the cloud version of MaxCS, also based on our legacy PBX platform, which is admittedly lacking modern unified communications functionality. These issues are resulting from the fact that our new MaxCloud UCaaS or Unified communications platform has taken longer than expected to get to full release date, due to a few nagging technical issues. Those issues have now been addressed and as a result, we are finally beginning to see some traction with MaxCloud. Although the MaxCloud revenues have not yet fully replaced, the decline we've experienced in our legacy PBX revenues, we are confident that this will soon change going forward. These same issues have also impacted the time lines for Fiserv to begin migrating their legacy MaxCS customers to the new MaxCloud UC platform. But with those issues now behind us, Fiserv has committed to begin their customer migrations from our legacy MaxCS to the new MaxCloud UC platform, which will generate additional MaxCloud incremental monthly revenues. As I mentioned on our last quarter's call, Fiserv is still on track to launch our groundbreaking new conversational AI IVR solution in October. This new solution includes significant enhancements and functionality along with higher pricing, which therefore will also begin to contribute to new incremental monthly cloud revenues. Shifting to Altigen's solutions for Microsoft Teams. That business has been fairly flat in the last few quarters, as we have not yet been able to introduce a viable contact center solution for Microsoft Teams. However, just last month we were able to introduce our new CoreEngage for Teams' Contact Center platform. We've already signed contracts with several customers and have quite a few pilots taking place now, with new prospective customers. Early indications are that this will prove to be a very successful commercial endeavor for us. Our consulting services business has continued to grow, primarily as a result of the expansion of our business with the Connecticut Department of Transportation. In addition to that, we are gearing up to go after new customer logos, principally focused on AI and digital transformation services. I'd also want to clarify, the role our consulting services business has in our overall business strategic planning. I'll start with a brief background. We initially acquired ZAACT Consulting in May 2022 to increase our Microsoft technical expertise to extend our capabilities to deliver custom communications solutions and to drive Altigen software sales into ZAACT's customer base. While the acquisition certainly improved our Microsoft technical expertise, it had also set us back as many of the companies ZAACT represented as ongoing customers that either ceased doing business or were in the process of doing so, at the time of the acquisition. The result was as reported in prior quarters, a much lower-than-anticipated contribution from the ZAACT Services Group. However, when we brought in Sharique Shaikh to run the ZAACT Consulting division in November of 2023, along with the signing of a major contract extension with the Connecticut Department of Transportation in December of 2023, that situation began to change. Today, our consulting services business is not only thriving under Sharique's leadership, but we are also now converging the technical resources on the consulting services team, with the Altigen software solutions team. This is particularly evident in our AI initiatives, in which companies first want customer solutions built for their unique needs, then want Altigen to enhance and maintain those solutions in a monthly recurring managed services revenue model. And we're set up to do just that. With that, I'll now hand the call to Joe Hamblin to provide additional color on both our software solutions and consulting services, lines of business. Joe?
Joe Hamblin: Thank you, Jerry. Good afternoon, everyone. A quick recap. During our second quarter earnings call, I outlined three key operational initiatives that we were going to be focused on that it helped enable our company to scale and compete in years to come. Those are operational efficiencies, financial stewardship and product delivery. So in the operational efficiencies area, we made significant progress to enhance that area. We completed our back-end automation for our legacy products. Allowing our existing customers and partners to streamline their account management access. Additionally, we rolled out an enterprise billing center that enables these customers to access their online billing information, much or easily and readily available to them. The team has also laid the foundation for the first phase of our solutions delivery portal by updating our product catalog, and mapping out our end-to-end business processes so we can begin the automation process that allows us to scale rapidly. This will allow us to automate product ordering in Phase 1, which we will release at the end of August and then we will quickly move into Phase 2, which will focus on the product provisioning piece allowing customers to come in and access our site with a very wizard simple-to-use friendly user interface that allows them to provision themselves. On the financial stewardship front, we continue to drive costs out of our business. As I mentioned last earnings call, we reduced our operating expense by $250,000 on an annualized basis through headcount, data center and associated licensing consolidations and the migration to the lower -- and migrations to a lower-cost underlying SIP carrier. As Jerry noted earlier, we actually realized $300,000 from those efforts. During our fiscal third quarter performance, we achieved an estimated annualized savings of another $590,000. These savings stemmed from the completion of our hosted data center modernization and consolidation effort and the migration of SIP services over to our new provider's platform. Keep in mind, we've only one-third complete on that. We'll finish up the other two-third of that migration by the end of this fiscal first quarter -- by the end of our first fiscal quarter. And I want to just note having a strong financial stewardship will remain as a core part of our company DNA as we continue to transform our business and we start to grow. Now, let's talk about product delivery. The third pillar is a key pillar in the product delivery space. As both Jerry and I have discussed on previous calls, improving the delivery of new products and services essential for us achieving our financial performance goals and driving new incremental revenue streams. This begins with growing our customers and revenue with our MaxCloud UC platform. Well, MaxCloud is GA for both Altigen and Fiserv customers, we needed to enhance our UC client with some critical modern workplace capabilities before we could scale out to the market, with a true launch. These enhancements are nearing completion and will complete and clear our quality assurance process in time for the fiscal New Year. Additionally, we are targeting the introduction of a new MaxCloud, CCaaS platform enabling customers to add omni-channel capabilities to support their business needs. More details on this will be shared soon. In parallel, we will launch CoreEngage for Teams Contact Center. As Jerry mentioned, we already have signed contracts with several customers and have numerous pilots underway. CoreEngage for Teams Contact Center will support our customers throughout the entire team's journey from PBX migration services to Teams direct trunk routing, using our best-in-class SIP services to Microsoft Teams call queues, and finally to our full omnichannel contact center solution including reporting and call recording. Let's talk about Fiserv's progress real quick. Again as Jerry mentioned, MaxCloud UC migrations are starting this quarter. We've already have our user ID validation and biometrics fraud detection currently in preview, with our initial POC customers. IVR our natural speech recognition tool will be delivered in October as promised. And also in the first quarter of the fiscal New Year we will deliver IVR text to speech during the first quarter. And then finally, let's touch briefly on the Altigen Technologies consulting services. I really this team has really performed well and continues to grow. Again thanks to Sharique's leadership and that whole team coming together. High level this team works directly with customer business units to design develop and deliver business process and system solutions. We continue to see quarter-over-quarter revenue growth. And our goal as Jerry stated, will be over the next two quarters is to attract new customers and enter into new engagements. So to summarize, our transformation process is well underway. We continue to improve our performance every day. From my vantage point the headwinds, we have faced are beginning to fade. However, we still have a lot of work to do. The team is motivated. We're engaged and we're very focused. So glad to take any questions you might have after we're done here. But with that, I'm going to turn it over to Carolyn for the financial review. Carolyn?
Carolyn David: Great. Thank you, Joe. I will now present the key financial highlights for Q3 FY 2024. Keeping in mind, these comparisons are on a year-over-year basis unless otherwise noted. For our fiscal third quarter results, we reported total revenue of $3.3 million compared to $3.4 million for Q3 2023. Total cloud services revenue for Q3 was approximately $1.7 million down 13% from $2 million in the same period last year. Meanwhile, our services revenue increased by roughly 25% to $1.2 million from $1 million in the prior year quarter. Gross margin for the quarter was 61% compared to 63% in the same period last year, reflecting a decrease of approximately 200 basis points year-over-year. This decline was mainly due to a shift in our revenue mix towards higher professional services. On both a GAAP and a non-GAAP basis we reduced our operating expenses in Q3 to $1.9 million, an improvement of roughly 15% year-over-year. This decrease was mostly due to lower headcount-related expenses. GAAP net income for Q3 was $62,000 or $0.00 per diluted share. This compares to GAAP net loss of $183,000 or negative $0.01 per diluted share a year ago. On a non-GAAP basis net income was approximately $200,000 or $0.01 per diluted share compared to non-GAAP net income of $40,000 or breakeven EPS in the same quarter last year. As noted, this increase in net income was primarily due to the aforementioned reduction in our OpEx. Moving to liquidity. We ended Q3 with approximately $2 million in cash and cash equivalents up 23% compared to the preceding quarter. Our working capital increased to $2 million from $1.8 million in the previous quarter representing an 11% increase. In closing we are pleased with our Q3 results which are in line with our expectations and we look forward to updating you on our progress in our next call. Now let me turn the call over back to Jerry for closing remarks. Jerry?
Joe Hamblin: And Jerry's line is still connected. Jerry, please check your mute button?
Jerry Fleming: Okay. Thank you. Thanks Carolyn. Sorry for the delay. To summarize we are making progress with sustainable business initiatives. We first showed up and are now growing our consulting services business. We've also made great strides toward achieving our operational excellence objectives with demonstrated tangible financial results. Our next major milestone which we've been working on for some time is to improve our ability to monetize our software. Achieving this objective has actually proven to be a difficult task primarily due to the fact that Altigen had to go through our own digital transformation process. This process involved not only transforming our legacy on-premises hardware and software products to modern cloud-native all software solutions, but also required us to transform the entire company from business systems to infrastructure to personnel. And as you've heard from Joe Hamblin this has been his number one objective and he's made great progress in that regard. Today we are on the cusp of realizing the returns from the investments we've made in our key business initiatives and fully expect the financial results to follow soon. So with that I'll ask the operator to open the call up for questions.
Operator: Certainly. [Operator Instructions] The first question is coming from Mark Gomes from Pipeline. Mark, your line is live.
Mark Gomes: Congratulations on reattaining profitability. Do you expect to maintain profitability? One question. The other is when do you think we can expect to start seeing the top-line resume sequential growth? Thanks.
Jerry Fleming: Yes. Thanks, Mark. Yes, we do expect those impact -- expect the savings to continue as we're actually doing a much better job of streamlining operational expenses. Yes, the top-line as you know I've been actually promising we're going to be growing top-line for a little while now and I think we've overcome. And I really think we've overcome these various hurdles and challenges and just one more thing objection so we can start kicking in some real business here. One of the keys obviously as Fiserv with some of the new products that they're going to be launching, but it's not -- we're not just a Fiserv company. It's also my commentary about having a team's contact center product that we can count on that people like and will pay for is also going to be very significant. So Mark I expect here pretty soon this quarter next quarter we're going to start seeing -- I can't say how big it's going to get but I do expect to start seeing tangible incremental revenue increases on a quarter-over-quarter basis very soon.
Mark Gomes: Okay. And then just kind of looking at you guys have made substantial investments in R&D for a company our size over the last few years. So as you go into monetization kind of what kind of scale of revenues do you think you might be able to achieve with the products that you have kind of ready or near ready to go? Are we still in some of the -- somewhat you presented in the investor presentation several months back?
Jerry Fleming: Right. Okay. Yes, thanks for referencing that Mark because it's a tough one without giving a forecast, but those numbers stand with us. And what we talked about was at the Planet MicroCap Conference. We expect it to be within five years between $40 million and $60 million with $50 million at our midpoint. We showed the various categories we expect to generate that revenue and it's Fiserv is a chunk of that. We didn't really count on a whole lot from our UCaaS platform because it's a very crowded market and the remainder made up was made up with our team solutions which we feel darn good about now as well as our AI solutions. So right at this point yes, I think hard to say we're on track because it's just a couple of months later but we think we're going to achieve those numbers.
Mark Gomes: Thanks, Jerry.
Operator: Thank you. [Operator Instructions] The next question is coming from Maj Soueidan from Geoinvesting. Maj, your line is live.
Maj Soueidan: Thanks. I just have one question. You've talked about this switch to a new SIP provider. Can you give us an idea how much you're going to save on that? And has that even kicked in yet? Is that part of the your kind of operational excellence numbers you've given in terms of how much money you're going to be saving moving forward?
Jerry Fleming: Yes. Good question Maj. Joe can you tackle that one? Yes Maj. Yes. So Maj some of those numbers are baked in. We're only about 1/3 way through that migration. And it's a two-pronged play. One is it is a cost-cutting effort for me. But in addition it's also a wholesale SIP trunk play for me. So it will help us on top line growth but it also helps me on the bottom line expenses. And again we've I can give you some ballpark numbers here, but roughly we've probably taken out -- if you look at my run rates I'm going to be somewhere in the neighborhood of $64,000 is what it was costing me in January and now I've gotten that down to $29,000 and I'm about one-third of the way through so.
Maj Soueidan: Thanks.
Operator: And there were no other questions from the lines at this time. I would now like to hand the call over to Jerry Fleming for closing remarks.
Jerry Fleming: Yes. Thank you and thank you everyone for participating. And I can tell you guys short term we've been focused on let's get our house in order, right? Long term yes we're absolutely focused on top-line revenue growth that has been happening. While we're working on the short-term initiatives that have made improvements in our financial results but we are 100% focused on increasing this top line revenue and driving shareholder value and look forward to reporting on our next call our progress in that area. Thank you very much.
Carolyn David: Thank you, everyone.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.